Operator: Good afternoon, ladies and gentlemen. Welcome to Vale's Conference Call to Discuss the Third Quarter of 2018 Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded and the recording will be available on the Company's website at vale.com at the Investors link. This conference call and the slide presentation are being transmitted via Internet as well, also through the Company's website. Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking comments as a result of macroeconomic conditions, market risks, and other factors. With us today are Mr. Fabio Schvartsman, President and CEO; Mr. Luciano Siani Pires, CFO; Mr. Mr. Eduardo Bartolomeo, Executive Director, Base Metals; Mr. Luiz Eduardo Osorio, Executive Director, Sustainability and Institutional Relations; Mr. Alexandre Pereira, Executive Director, Business Support; and Mrs. Marina Quental, Director of People. I would like to inform you that Mr. Peter Poppinga will not join the conference today. Mr. Luiz Meriz, Global Director of Sales of Iron Ore and Coal will be available to answer any questions related to the iron ore and coal business. First, Mr. Fabio Schvartsman will proceed through the presentation, and after that we will open for questions and answers. It is now my pleasure to turn the call over to Mr. Fabio Schvartsman. Sir, you may now begin.
Fabio Schvartsman: Thank you. Good morning to all. It’s a pleasure to be here and discuss with you the latest results of Vale. And on top of everything, we think that we are moving forward in the right direction, becoming as expected, a more predictable company, showing consistent results during time with meaningful evolution. And it is important to emphasize that even with reduction in price of the index of iron ore from the third quarter of last year to the third quarter of this year of 4%, we were able to more than compensate that through our quality -- through our quality premium actually. This is how the Company is dealing with this scenario. And we've been helped by lower volatility in the iron ore world in comparison to other ores where the change, the volatility is much more meaningful these days. I want to make quick remark on capital location. I think that this is the most significant thing for our Company in the mining universe. And because of that, we are taking a very cautious look towards anything that relates to capital allocation. Our primary goal is to distribute dividends and to buy back shares in order to compensate our shareholders. And marginally, we are making investments as the two that we announced today, the Salobo and the Gelado investment, both are brownfield investments that they have a very meaningful return on investment. And they basically showcase how we think about investments and how we think that we should handle them from now on. One quick word in our business strategy moving forward. First, iron ore. Iron ore, we have a very simple equation in front of us. We are ramping up S11D; we are ramping up the three pellet that we have restarted this year. Therefore, our goal is to introduce more, high-quality ore in the market, a market that is today driven towards higher quality for the right product, for the right market. Meanwhile, it is important for you to understand that we have a clear strategy for Base Metals as well. Base Metals, as we anticipated since last year, we need on purpose reduction in production, not reduction in capacity but in production of around 50,000 tons of nickel per year in 2017, 2018 and 2019. Therefore, our play in nickel aims towards 2020 when we will have at the same time much higher production. And we are aiming to have 310,000 tons of nickel production, that's just coming back to our capacity in 2020. We are working towards a total restructuring in our business that will reduce in a very meaningful way, costs, and these will be present in 2020 as well. And finally it’s expected to see a clear reversion and increase in price of nickel by that time. So, while we are going to enjoy the good moment of iron ore, we are preparing ourselves to substitute -- or to add to it the good performs that these methods will show with a jump in results in 2020. So, one quick word about next quarter. Our expectation is to continue to deliver next quarter in a comparable basis. Therefore, with the fourth quarter of last year, we are expecting a very nice growth in results as it happened in the third quarter, driven by the recent increase in iron ore prices in the market that is passing quite well. Meanwhile, we'll have all this noise regarding trade wars but you see that iron ore is a physical demand and it is working accordingly. So, this was my introduction. And I now pass to Luciano to complement some information.
Luciano Siani Pires: Good morning and good afternoon. I will start by costs. You could see, iron ore costs reduced from $14.7 to $12.4 per ton, so we delivered on our promises. We should expect for the fourth quarter this level to remain. And as you are aware, in the first quarter of next year, due to seasonality and the raining season in Brazil, likely volumes are going to be lower and cost should slightly creep up. In terms of Base Metals, I want to point out that not only we have higher unit costs because of lower dilution, because of lower volumes, but also there was extra spending in the maintenance shutdown for Ontario. So, therefore, more spending over last volumes and not only last volumes. In terms of coal costs. Although you saw improvement in volumes, the costs did not come down accordingly, and the reason for that is because we’re moving a lot of material in the mine as part of the debottlenecking process. So, there is a lot of overburden being moved. This should continue for the next three quarters. And we expect a meaningful uptick in product volumes in the second half of 2019, actually probably we’re going to be running close to 17 million tons of capacity on the second half, average for the year; the total for the year will be lower, but the rate of production in the second half is very meaningful for coal in 2019. Now moving on to the projects. Some color on Gelado. The investment of $428 million will be roughly half financed by the savings on replacement of equipment in Carajás, because the remaining mining operations of Carajás will be reduced. And in addition to that, because it operates without trucks and zero transportation distance, the operating costs, the C1 cash costs on Gelado will be $3.5 lower than the operating costs of the Carajás mine which are already among the lowest within Vale. So, very accretive project. In terms of Salobo III, the expectation is to receive the bonus from Wheaton in 2023. The risk associated is very low, given that the production targets that we need to achieve, we’re very confident, it's a sister plant of the two that we have already there, very detailed engineering in place. We see very low risks of achieving the bonus. And even if there is a slippage in terms of ramp-up, the sensitivity of the size of the bonus received is very low related to the timing of the ramp-up. We’re talking about tens of millions of dollars. So, therefore it’s a given that we’re going to get a substantial amount of money in 2023. Capital expenditures also hit a low in the quarter. That's a consequence of finishing some important projects, like the emissions reduction project in Canada and the beginning of all important projects such as VBME and Gelado, and also of the comprehensive review during the year aiming at optimization, capital location, also in sustaining investments. So, you should expect capital expenditures to go up in the fourth quarter to more normalized levels. Finally, looking into balance sheet and capital allocation. You saw the 50% sale of Eagle Downs. We have not touched on this before but this is just the example and the proof that we continue to streamline our portfolio, aiming at a more simplified company in bringing new proceeds. We also performed, I would say, quite well in our share buyback. We have almost 50% of it completed in the third quarter alone and an attractive price of $13.27. We were very opportunistic writing the volatility in external and internal markets. And finally, debt management we are very close to our net debt target. We reduced overall indebtedness by $800. But if you look at debt maturing until 2021, the reduction was even greater, about $1.3 billion. So, we continue also to optimize the overall profile of debt. Having said that, we can jump straight to Q&A.
Operator: [Operator Instructions] Our first question comes from Carlos De Alba with Morgan Stanley.
Carlos De Alba: So, the first question, maybe for Fabio or Luciano. How do you decide between paying dividends or buying back shares. Is there a particular inclination? What should we expect going forward? What are the parameters that we would need to consider in order to understand your rationale? And then, second, if I understood correctly, Fabio, you basically suggested that this year the story has been about iron ore and high-quality premium or high premiums for high-quality material. And then in 2020, the story would be Base Metals. How you see next year, what is going to drive the Company's performance in 2019? Thank you.
Fabio Schvartsman: Carlos, thank you for your questions. First, the discussion between dividends and buyback is basically opportunistic, is a decision that we will make every time that we have a decision on this. And last time, we made a decision to invest in buyback instead of more dividends. First, because we had just created that policy. And we were pleased to pay dividends according to the policy and not in a different level in order not to confuse the market. Second, we got thought the opportunity for buying back was a good work, and it seems that we were right, because we bought back shares around $13 and the rate of the shares today are around $15. Therefore, the return on investment here was quite fast actually. And this is a good thing that it reinforces that we made the right decision to move in the direction. So, it will depend on circumstance, it will demand say, how it’s going to be the environment in the fiscal area that impact or not dividends. This decision will be affect by a number of things that will be evaluated at any given moment. Second, about 2019. 2019 will be similar to 2018 but better. That means that we will have more of the same in iron ore. We’re going to have more high-quality ore coming on stream, more pellets coming on stream. Therefore, our average price should be higher than this year. On top of that investment, our cost reduction is in process. So, we can -- we are going to see some initial results coming out of it. But, Base Metals is a story basically for 2020, where we are really expecting a big jump in performance that we'll achieve the goal that we have for say 30% of our result coming from the Base Metals.
Operator: The next question comes from Andreas Bokkenheuser with UBS.
Andreas Bokkenheuser: Yes. Thank you very much for taking my question. And thank you very much for doing today's Q&A session as well. It’s been reported that obviously you're considering investing a bit more in S11D, but obviously you don't want to bring more iron ore volumes to the market, so effectively displacing some of the volumes in southern system. Can you talk a little bit more about your plans, if that is the fact what you're considering, what are you thinking in terms of timeline, what are you think in terms of CapEx, what's required in terms of infrastructure and licenses and so on? Thank you very much.
Fabio Schvartsman: Andreas, thank you for your question. You're right. We are starting to extract a little more from S11D with marginal investments. We are actually in this phase. So, our information is not sound at this point. That's the reason why we are not sharing the precise information. But, I think that we stand to have a chance to deliver that by a validate moment, when we should have terminated all this analysis and we will have all the information regarding this, and it will be developed in a very short period of time.
Andreas Bokkenheuser: Understood. If I may then ask another follow-up question, more on the freight side of things. In the last couple of quarters, you’ve obviously mentioned that you are in negotiation with some of your ship vessel providers ahead of the whole new IMO regulation that's coming on line in 2020, effectively trying to convince them to invest in more environmentally friendly equipment, scrubbers for the ships and so on and so forth. Do you have any update there? How are these negotiations doing and how do you think you'd be affected by the new IMO regulation? Thank you very much.
Fabio Schvartsman: Just to correct a little bit. We are not convincing them. Actually we will be paying for the equipment that is going to be installed in all the ships for this purpose. So, as we are paying, it means that we are getting a lot of traction here. And we can see at this point that we have most of our fleet converted already for the scrubbers. That means that we are poised to actually benefit from the reduction in the cost of the bunker that is more productive. And therefore, we are good here, exactly as we mentioned in the last quarter here.
Operator: Our next question comes from Jon Brandt with HSBC.
Jon Brandt: Hi. Good morning, good afternoon, Congratulations on the very strong results. I first wanted to ask you about I guess your shares. Firstly, on the share buyback. So, you said you did about 50%. And I can see that [technical difficulty] treasury shares. Are there any plans to actually cancel those or should we expect to see them as treasury shares going forward? And related to that, I see that BNDES has been selling down part of their stake. I know it’s not really your decision, but I was wondering if there’s any update -- do you have any update as to whether or not the controlling shareholders might be looking to sell down. And then, I guess my second question was related to the iron ore pricing and the premiums. So, you said about 79% of your volumes that were sold are the premium products. But my understanding is you’re not actually getting a premium price for all of those products, because of contract. So, I’m wondering, if you can sort of shed some light on how much of your volumes are being sold on contracts? I’m really trying to get a sense of if iron ore prices stay the same, because the mix shift going from contracts to using the new Metal Bulletin benchmark that you created. How that will impact premiums? How much higher they can go? Thank you.
Fabio Schvartsman: Okay. Let’s start with the share buyback. If I understood properly, you want to know if we are going to continue to buy back in the same speed that we’ve done so far. Was that your question?
Jon Brandt: No. I guess, I was wondering if you are going to cancel the shares that you bought back or [technical difficulty]?
Fabio Schvartsman: The idea will be to essentially cancel that. We have no other plans for the shares other than cancelling that. Regarding the [technical difficulty], the only thing that I know is what I hear from them. And what I hear from them especially from pension funds, is that they are not willing to sell in the short term. So, I have no idea, if -- on the other hand, BNDES is aiming to sell or not to sell is something that unfortunately I don’t have information. Now, regarding iron ore prices, I will pass to Luiz Meriz to give you more color in this issue of contract that you asked.
Luiz Meriz: Basically, the premium, we are capturing arise from three major families of products, let’s say. You can say that the pellet, which have their prices discussed on a yearly basis, the Carajás, which is already full indexed to the index, which represents pretty much the value of the Carajás. And the third part of that will be related to the blend, which is lower alumina price. But, majority of this blend is sold on a yearly basis. So, we expect a stronger -- the next part -- you already will be in a position to capture the value that the market is recognizing on our alumina quality and our products. Does that clarify your question?
Operator: The next question comes from Alex Hacking with Citi.
Alex Hacking: On the first question, I just wanted to follow up on the previous answer. Is the goal to sell a 100% of Brazil blend fines linked to the low alumina index next year? And then, I guess second question just on Moatize. As the mine ramps up, what’s going to happen to the mix of met coal and thermal coal? Because obviously I think there's been a bit more thermal coal in the mix than what was originally anticipated. I am just trying to figure out like steady-state, once the mine is at full capacity, what does it look like.
Luiz Meriz: Thank you. On the first query related to the goal, I mean, contracts have different duration. I mean, majority of those contracts are done on a yearly basis, as I just mentioned. So, on those ones, this will be implemented in a faster way. For some others, you may have a small part of that which will be slightly longer. And then, it will take a few more time to happen. In general, the market recognizes the alumina is -- it’s a natural movement in terms of pricing. We have a specific index,. now which has been published which represents the low alumina on our sinter feed, and this is most fair way to assess the value of this product.
Fabio Schvartsman: Alex, in terms of Moatize, the mix, we have several different pits and sections on the mine. The current section we’re mining, you’re correct, so it has a slightly lower proportion of met coal. The new sections which we’re going to be opening as of now and next year are much richer. So, therefore, the situation in ‘19 will be similar in terms of -- volumes will improve strongly in the second half, as I pointed out but the mix will continue to be similar. In 2020, the mix improves a little further; and in 2021, it improves dramatically. So, the profitability of Moatize will increase over time, but gets a big, big jump from 2020 to 2021.
Operator: The next question comes from Christian Georges with Societe Generale.
Christian Georges: My first question is on the pellets. Could you give us an idea of what is the breakdown pellets, or how much of your pellets you send to China these days compared to what I guess you send more to Europe? And linking to the contract question earlier, do you have some contracts on pellets, which are maybe six months near on the European destinations.
Luiz Meriz: China is not traditionally a big consumer market for our pellets. I would say that the majority will stay in Europe and Brazil. That basically is the -- I would say about eventually less than 10% of our volumes are directed to China. Our full production is committed in the long-term contracts. That’s the scenario.
Christian Georges: The proportion in China is increasing, right?
Luiz Meriz: Not necessary. We are increasing -- this year eventually, you might see as more amount heading to China as the production increases. But, that would be eventually spot sales. The majority of the volume is in long-term contracts, which are -- of which China is a relatively small part of that.
Christian Georges: And my second question on Moatize. So, we're looking at 17 million tons in 2020. What it is related target for 2019? I mean, are we going to be flat versus 2018 and gradually you're going on to 2020 at 17 million tons or is it just linear?
Fabio Schvartsman: We will provide the full guidance by Vale Day. So, I just wanted to give you directionally where we're heading. So, we should be at a rate of 17 million tons for the second half, but we're still sorting out the details. So, we'll give you precise guidance for the full year ‘19 at Vale Day.
Christian Georges: Okay. And very last thing, VNC, was back in losses. Does this -- nickel linear, is that a disappointment to you or is it part of the plan that you currently have?
Fabio Schvartsman: Look, we never hid the fact that VNC is a very difficult operation that Vale has. And we have the new management of Base Metals, very focused on changing that for better. So, we are now in this process. We want to reach a decision of what is that we are going to with VNC shortly. And as soon as we have the decision, we're going to share with the market.
Operator: The next question comes from Grant Sporre with Macquarie.
Grant Sporre: Good afternoon, gentlemen. Thank you for hosting the call. And my first question is just a little bit more on VNC, if you're able to share anything. The question really is around, it would seem to me, it's more of a revenue problem than actually a cost problem at VNC, in terms of some of the realizations you might be getting from the intermediate product. So, I don't know if you could share any details on that? That would be my first question. And then, the second one is based on Moatize. You gave some guidance at Vale Day ‘18 in terms of how the costs would evolve. Is that still your current thinking as to how those costs would evolve over time? Thank you.
Fabio Schvartsman: Hi. Regarding VNC. VNC is not only an issue of price, it’s an issue of cost as well, and it is an issue of capacity. We are operating at low capacity utilization at this point. And we are focused in increasing that. If we can increase that, we are going to save thousands of dollars per ton that will be as important as a price increase. So, there is -- there are two issues. The future prices obviously eventually can help but we are not counting on prices. We are looking if we are able to be in a position to produce a lot more from the same equipment that we have there. Regarding Moatize?
Luiz Meriz: On Moatize, we have no change to the cost guidance that we provided at Vale Day. And just reminding everyone again, we look forward in the longer term to have a total cost structure at Moatize at around $80 per ton cost at port, which means $60 per ton of operating cost plus $20 per ton of an additional tariff required to service the project finance. So, very competitive. Obviously, it will take a few years to get there.
Operator: The next question comes from Tyler Broda with RBC.
Tyler Broda: Excellent performance on the quarter. I just wanted to say -- I just want to ask, on Salobo, the third concentrator coming in, is that going to be the same size and design as the previous two concentrators or is there any changes or what we should be looking for in terms of any specifics on what that might change in terms of the cost profile? And then secondly on the, maybe if you could just provide bit more clarity exactly on what needs to happen before the money comes through? And then, just secondly on Samarco, the pellet market is quite strong. If you could give an update on where things are there at the moment.
UnidentifiedCompany Representative: Okay, Tyler, on Salobo. This expansion is exactly equal; it’s a sister plant than Salobo I and II. In theory, it should add 50% of capacity. But the reason why Salobo doesn’t go from 200,000 to 300,000 is because corporate rates, they decline over time. So, therefore the peak production will be 268,000. So, when you think longer term, there is then a trend for Salobo cost to come slowly up, although from a very low level. You all know that we have cost there close or below $1,000 per ton. But, on the other hand, on the first few years of the startup of Salobo III, actually there is a counter effect that keeps costs at the same level, which is the fact that there is an already mined stockpile of ore, very close to where the new crusher will be for treating for Salobo III. So, transpiration businesses will be zero, mining costs will be zero. So, expect Salobo cost to be stable, at least over the next five years.
Fabio Schvartsman: Regarding Samarco, this year was a year of important achievements in Samarco. First, we had an agreement with all the parties involved, especially the persecutors. That was a very complicated thing to get. And this was the most important step forward because it’s taking out uncertainty of which we will be the impact of the liabilities that we had because of the accident that Samarco has because of accident. The second good news is that very recently, we decided to start the construction of the tail dam that will support the restart of the operation, called Alegria Sul where we not only decided to start but we got the licenses to build it. And we’re under construction right now. That means that by the end of 2019, we will have everything in place to ask for the license for restarting operation. Therefore, if we are able to get these licenses, we’ll be -- we will have everything ready for restarting the operation by the beginning of 2020.
Operator: Our next question comes from John Tumazos with John Tumazos Very Independent Research.
John Tumazos: Thank you very much. Two questions. Should we expect another cobalt stream in New Caledonia to finance the next tailings project there? Second, I was rereading my notes from the October 2011 Mozambique Vale tour. And the guidance was 77% met coal trending to 22 million tons future output fully developed. There was emphasis on the Chipanga seam 25 meters thick with the other seems were 17 or 10 meters or smaller and variable. Is there a difference where when you open up and get into the mine, it just isn’t as good as when promised?
Fabio Schvartsman: John, this is Fabio let me start cobalt stream and then, I will gladly pass to team, because I was not there. And so, I have no idea what was...
John Tumazos: I can send you my notes, Fabio. I already started to write you a letter.
Fabio Schvartsman: Thank you. Regarding cobalt stream, I would like you to understand that in our point of view, it’s a totally different story, a cobalt stream in Voisey's Bay, from one in VNC. The reason is a very simple. In Voisey's Bay, we didn’t have the cobalt. So, the cobalt is totally dependent upon opening the mine. If we didn’t open the mine, no cobalt would be available before we sold something that we didn’t have in order to make the mine feasible. That was the purpose. VNC is a totally different story. We already have the cobalt in our stream of revenues and the cobalt is there. So, the impact of streaming in Northern Caledonia will be neutral. So, the benefit that we had in the case of Voisey's Bay, would not be present in the case of VNC. I hope this answers your question.
John Tumazos: Thank you.
Luiz Meriz: So, John on Moatize, starting by the production volume. So, the 22 million tons encompassed 18 million tons through the Nacala corridor plus 4 million tons through the Beira corridor. So, as you know, we seized operations in the Beira corridor. So, we would theoretically be limited to 18. However, we’re going to go to 20 based on debottlenecking of the logistics corridor. So, what’s going to limit the capacity currently is the logistics. In terms of the split, the 77 will not be achieved over life of mine. Now, we know more about ore body and it will probably peak once we go to the new sections that I mentioned, section 5 and section 6, at 65%, from today is about 55%. Chipanga will not be as meaningful as it was before. So, the quantity of Chipanga is reducing. However, the other seams of coal that we’re mining, they have also very good quality. They have strange names like [indiscernible] whatever, but they are achieving very good price realization. So, the fact that Chipanga is decreasing should not be a concerning in that respct.
Operator: The next question comes from Alfonso Salazar with Scotiabank. Hello, Mr. Salazar. Your line is open.
Alfonso Salazar: First one is regarding the payment that you will get from return once Salobo III is up and running. If you can provide more details or anything else that you can share about this. The second is regarding the premium that you get for the quality to premium in iron ore. How do you see that in the long-term, and what you see especially in the supply side, if you think that outside Australia, there could be more supply of high quality ores that will compete with Vale? And how do you expect that to evolve as China uses more scrap again in the longer term? Thank you.
Unidentified Company Representative: On Salobo III, the bonus is a function of three variables. The first one is the timing of the completion and ramp-up of Salobo III. So, the guidance that we gave from 600 to 700 assumes that we achieve those milestones in 2023, although the startup of the product is scheduled for 2021. So however -- so therefore, we have a full year to achieve the production targets. And as I indicated because it’s a sister plant of the two which are already operating, that should not be difficult. So, timing is one variable. The second variable is capacity, again shouldn’t be an issue because we’ve been running sister plants for a while now. And the third variable is ore grades, which as much as we continue to mine Salobo, there is no surprise that we expect. It’s been -- the ore grade has been according to the mine plant. So, the level of risk for receiving that bonus is very small.
Fabio Schvartsman: Regarding quality premium in the iron ore universe, we certainly think that is a structural thing, therefore permanent. And there is a fact that I would like to emphasize that helps understanding what's going on in the market these days. If you notice in the last few days, the index plus went up in a very important manner. We’re now in the neighborhood $76 per ton that was not achieved for a long period of time. That was a combination of two things, a strong demand in China, especially because of the latest stimulus that the government is making to speed up economy a little bit. But more importantly, our competitors made the right decision of changing the quality of the product that they are offering to the market. It always comes with a consequence. It means that certainly there are more costs associated with the decision. But the truth is that now, there is more high-quality blended ore coming to the market through the index. And accordingly, the index is moving forward. And this is the best showcase that we can have that this trend is so real and so important that everybody is now having to adapt with. Either people are offering more quality products, if they have them or they are cutting production accordingly because the market is punishing very much the low quality. So, it is implied in this comment that we are quite comfortable that this will continue like that. And we don't see anything meaningful coming in the next few years, as for the supply and all the initiatives that eventually you heard of are very complicated, very high CapEx, really OpEx, and there is a clear doubt if these projects will be developed or not. This is the situation as we see today.
Operator: The next question comes from Mr. Alex Hacking with Citi.
Alex Hacking: Hi. Thanks for the follow-up. I just wanted to follow-up on the nickel volumes. You mentioned that those would be back to 310,000 tons by 2020 if I heard correctly in the prepared remarks. Could you maybe disclose where that additional sort of 50,000 tons, which mines that additional 50,000 tons of nickel is planned to come from? Because if I remember correct, the Voisey's Bay underground doesn't start until 2021. So, maybe just some color there will be helpful. Thank you.
Unidentified Company Representative: Okay, Alex, just to clarify that 310 [indiscernible], to our capacity stalled. So, it would be around ‘21 or ‘22. Where it comes from is -- the mines of course, they have to be sustained on the level and you gave a good example of Voisey's Bay. So Long Harbour for instance, we have spare capacity of 10,000 tons there. We still have capacity to a degree of over 50,000 as well. We have a capacity. And as Fabio mentioned, we have a huge increasing capacity in New Caledonia for nothing, just for better management and small debottleneck that we have to do there. So, there are lot of capacity on our plants to get to that. So, the path to get to 310 will be guided by the market by the way. So, as we expect the crossing of the curve is 2020, but I will say this guidance, we’ll give more clarity on the Vale Day. It’s just a direction, okay. Just bear in mind that we are able to produce, at the minor invest just to get it, it’s very transparent, it’s like the second, first, and also third [ph] but that's very marginal but that gets a lot of volume as well. But anyway, the direction is 310 is in our plan, it’s going to be achieved as market evolves, very, very cautiously. And as we mentioned before, with a better cost structure because we're going to keep our -- actually going to reduce our fixed base to run that whole operation. I hope it clarified you.
Alex Hacking: Thank you. Very clear.
Operator: The next question comes from Thiago Lofiego with Bradesco BBI.
Thiago Lofiego: Fabio, I have one follow-up question. Could you give us an update on a railroad concessions renewals at Carajás and Vitoria-Minas? What’s the timing expected for those renewals and what is the potential CapEx linked to those? Thank you.
Fabio Schvartsman: I will start and then I will ask my collogues here to complement there. But, the state of the art here is well advanced. We’re -- the agency right now, we’re just waiting for a final decision of the agency. I think that by cautions, reasons the agency is waiting for the change of -- or the elections, change of President in order to move forward with this. But, this will be a low-hanging fruit waiting for new President to catch. So, I’m pretty optimistic that as soon as he starts in the office, he will be allowing this process to move forward. We have everything in place to deliver as soon as executive -- Brazilian executive decides so. Regarding the investment…
Unidentified Company Representative : I think it’s quite soon to say a number because in the agency as Mr. Schvartsman said we're going through a very technical analysis. It’s not final yet. And the after that it is going to go to the union court for the final analysis, and then back to the government for final decision and then the renewal of the contract. So, up to now, I would say that it would be early to call a final number because we are going through technical methodology that is supposed to be concluded by the agency.
Fabio Schvartsman: Only to complement that, if you take for instance the railroad [ph] that is selected by the government to become the counterpart for the concession, this will be built by Vale the renewal of the concession is approved. But, it will take several years to build it. The investment, no matter how much is going to be, it will be spread among many years.
Luciano Siani Pires: And just Luciano complementing. This is a general cause of railway which by nature costs much less than a heavy haul railway like an iron ore railway. So, if you take the numbers from the iron ore industry, they are not a benchmark for this railway.
Operator: The next question comes from Marcos Assumpção with Itaú BBA.
Marcos Assumpção: First question on production and sales volumes in iron ore. In the first nine months of the year, Vale sold 95% of its production volumes basically to support the strategy of increasing blending volumes. How should we expect that ratio to behave in 2019? And the second question, if you could comment a bit or give us an update on the pellet premium negotiations for next year as well? At least how the market is so far, supply demand is behaving and the trend that you see for pellet premiums for next year? Thank you.
Fabio Schvartsman: Thank you, Marcos, for your question. Regarding 95% or so of last year. Almost likely we will have the same situation this year in 2019. And the reason for that is because we are using our flexibility. And as we today, we are in a different position from other companies as we have a lot of investors sitting in China. We can speed up sales or slow down sales according to the behavior of the market. As naturally the market slows down by the end of the year, so naturally we are going to most likely hold a little bit of sales for this -- for next year. This explains the level of sales in proportion to production that we had in the first quarter. Besides that, we are coming to a more closer comparison between what is produced and say every quarter. As we now, we are coming to the end of the building of inventories in China.
Unidentified Company Representative : Yes, Marcos. Regarding the pellet, basically starting our negotiation season, right, I mean the market balance would -- showing increase on price, but you rather not be much more specific than that due to the sensitivity of the negotiation moment that we are in now.
Fabio Schvartsman: But the truth of the fact that we are completely oversold and consequently -- and the demand is higher than our capacity. So, the natural consequence that there will be some price adjustments because of this unbalanced situation that I just expand.
Marcos Assumpção: Perfect. Thank you very much.
Operator: This concludes today’s question-and-answer session. Mr. Fabio Schvartsman, at this time, you may proceed with your closing statement, sir.
Fabio Schvartsman: Again, as always it was a pleasure to have all of you on this call. We are very detailed questions that were presented. And we are pleased to tell you that Vale is moving forward in every aspect that we are looking for. So, it seems that we are poised to have another good quarter in front of us. And I hope to have you all in the next call by the beginning of next year. Thank you so much and have a good day.
Operator: That does conclude Vale conference call for today. Thank you very much for your participation. You may now disconnect. Have a good day.